Operator: Good morning. My name is Chris and I will be your conference operator today. At this time, I would like to welcome everyone to the Rogers Corporation 2016 Third Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Bill Tryon, Director of Investor and Public Relations, you may begin your conference.
Bill Tryon: Thank you, Chris. Good morning, everyone, and welcome to the Rogers Corporation 2016 third quarter earnings call. The slides for today's call can be found on the Investor section of our Web site along with the news release that was issued yesterday. Please turn to Slide 2. With me today is Bruce Hoechner, President and CEO; Janice Stipp, Vice President, Finance and CFO; and Bob Daigle, Senior Vice President and CTO. Turning to Slide 3. Before we begin, I would like to advice that statements in this conference call that are not strictly historical are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and should be considered as subject to the many uncertainties that exists in Rogers' operations and environment. These uncertainties include economic conditions, market demand, and competitive factors. Such factors could cause actual results to differ materially from those in any forward-looking statement. Also the discussions during this conference call may include certain financial measures that were not prepared in accordance with Generally Accepted Accounting Principles. Reconciliation of those non-GAAP financial measures to the most directly comparable GAAP financial measures can be found in the slide deck for today's call, which is posted on the Investors section of our Web site. I will now turn the call over to Bruce.
Bruce Hoechner: Thanks Bill. Good morning everyone and thank you for joining us for today's call. Before we get to the slide deck, I want to let everyone know that Bill has decided to retire at the end of this year. Many of you speak with Bill regularly and are well aware of his acumen with Rogers financials and our overall business as well as his understanding of the markets and what is important to our investors. Thank you, Bill for all you've done for Rogers. Please join me in wishing Bill the best as he leaves Rogers to enjoy his retirement. Now, please turn to Slide 4, in Q3 2016, Rogers achieved net sales of $165.3 million exceeding our previously announced guidance. This is an increase of 3.1% over Q3 2015, which included $5.2 million of revenue from the divested polyimide and thermoset laminate business excluding the effect of the divested assets, Rogers net sales increased 6.3% over Q3 2015. Performance during the quarter was driven by strong gains in EMS and PES business segments, while sales and ACS decreased slightly. Third quarter operating margin decreased 50 basis points to 14%. Our continuing efficiency initiatives were offset by higher SG&A spend related to strategic activities and incentive compensation accruals. Gross margin which is not reflected in the slide was 37.5% an increase of 30 basis points over Q3 2015. This performance reflects our ongoing commitment to operational improvements. Q3 adjusted EPS was $0.95 exceeding guidance and $0.21 above the mid-point of the range. Adjusted EBITDA was $34.1 million or 20.6% of net sales for the quarter. During the quarter, we experienced continued demand for e-Mobility applications as well as positive growth in general industrial, clean energy and portable electronics. In general, we are pleased with the trends in a number of the markets were Rogers has significant share. Turning to Slide 5, I would like to briefly review our growth strategy. As a reminder, we take a market driven approach leveraging our deep understanding of the link between our markets and technology to develop solutions that fill unmet needs for our customers. In the area of innovation leadership, we are pleased with the advancements we are making in innovation, in our innovation centers as well as in the operating units where our R&D teams are focused on next generation solutions. Growing organically and through synergistic M&A remains a key focus for the company. We continue to invest in activities that will help us identify and pursue opportunities that will add value for our shareholders. To drive ongoing profit improvement, we have a number of projects underway within our operational excellence initiatives. I was pleased to attend the recent grand opening of the ROLINX power distribution busbars line at our Rogers Hungary facility. This builds on the success, we have achieved at the site since we initiated the curamik final inspection there in 2013. This model has worked well for us. Hungary is a good place for our business offering a cost efficient skilled workforce. On Slide 6, we believe the longer term outlook in corresponding growth expectations for our key markets remain positive over the next two to three years. Global requirements are driving demand for applications and Rogers three key megatrend categories of Internet connectivity, clean energy and safety and protection, which consistently account for the majority of our net sales. We remain confident that we are focused on the right global growth markets. Moving to the challenging section of the slide, I would like to spend a moment discussing our view of the wireless telecom sector as it relates to Rogers. While there are some short-term challenges, we also see substantial opportunities as we move forward. In the third quarter for example, our sales grew in the transceivers power amp segment due to a better balanced supply-chain inventory situation versus Q3 2015. While a number of recently published reports by telecom equipment OEMs indicated that their sales varied significantly, Rogers broad participation among telecom equipment suppliers enabled us to benefit from the ongoing demand. Looking forward in this market according to industry consultants, the massive MIMO deployment to support 4.5G enhancements in China during 2017 may increase the demand for transceivers power amps thereby reducing the overall effect of slowing CapEx spend in this area. Today, we are already seeing opportunities for Rogers in 4.5G and 5G technologies where we are experiencing increased design and activity for our high performance circuit materials. We believe this design activity will accelerate demand going forward. Turning to Slide 7, ACS delivered net sales of $65.5 million during Q3 2016, which is a decrease of 1% from Q3 2015. Adjusted operating margin was 12.3%. Our Q3 ACS results were driven by demand in applications for high frequency circuit materials using automotive safety and other high reliability applications. Growth in ACS was more than offset by lower demand in aerospace and defense applications and wireless telecom. Within wireless telecom, our strong performance in transceiver power amps was significantly offset by weaker demand in our 4G/LTE antenna materials, primarily as a result of a delay in the India 4G spectrum auction which is now complete design changes by a specific antenna OEM that impacted circuit material usage versus previous designs. And the impact of price considerations offered by Rogers for longer term volume stability. We do expect to see improvement in the near term as India starts to deploy more base stations and as Rogers continues to penetrate the global antenna market more broadly. Turning to Slide 8, in Q3 EMS achieved all time record quarterly net sales of $54.4 million an increase of 16.3% from Q3 2015. Adjusted operating margin was 21.2%. During the quarter EMS results were driven by an increase in demand for portable electronics, e-Mobility and general industrial applications which more than offset lower demand for mass transit and computer applications. The continued penetration of the back pad solution for portable electronics and government subsidies where e-Mobility solutions contributed to EMS' success during the quarter. We are pleased with the rebound we have seen in EMS over the past two quarters. Our strategy to drive growth through geographic expansion has been evident, as the European and Asia regions delivered revenue increases in Q3. We saw particular strength in China where government mandates and consumer demand are driving adoption of e-Mobility applications. EMS' R&D efforts are helping us expand our portfolio of opportunities. For example, as more smartphone designs transition to OLED displays, we have been working with our customers to develop back pad products specifically designed to meet their more demanding requirements creating new opportunities for EMS. In Q3, we were pleased with the renewed strength in the portable electronics market. We are cautious going into Q4 due to the cyclical nature of the EMS business and the suspension of production of certain cell phone models at a major OEM. Turning to Slide 9, PES net sales were $39.8 million, an increase of 8.8% over Q3 2015. PES adjusted operating margin was 8.9%. Third quarter results were favorably impacted by increased demand in e-Mobility, energy efficient motor drives, certain renewable energy and vehicle electrification applications. These increases were partially offset by much lower demand in rail, energy and mining applications. For the PES business, we maintain a positive outlook for the mid and long-term. We saw during Q3 government mandates and climate change agreements are contributing to increased demand for energy efficient motor drives renewable energy applications and EV/HEV content. I will now turn the call over to Janice, who will report our Q3 results in greater detail as well as additional financial highlights. Janice?
Janice Stipp: Thank you, Bruce, and good morning everyone. Overall, we were encouraged with our Q3 2016 financial results despite difficult conditions in some of the markets we participate in. As you will see in our numbers, we continued to gain momentum on our performance initiatives. Adjusted earnings per share of $0.95 was above our current guidance estimate. Q3 2016 revenue of $165.3 million exceeded guidance level in Q3 2015. The increase over last year was primarily a result of strong EMS and PES volumes partially offset by the non-core asset divestiture. Improved gross margin of 37.5% up 30 basis points was compared with Q3 2015 as a result of increased demand, set of operational performance and improved margin profile associated with the non-core asset divestiture just noted. Continued strong cash generation ending the quarter with cash of $173.5 million on the balance sheet and $94.2 million of cash provided by operating activities for the nine months ended September 30, 2016. Net income at $16.1 million, was approximately 28% higher than Q3 2015. Now, if you turn to Slide 11, I'll review our third quarter results in more detail followed by our fourth quarter guidance forecast. Q3 2016 revenue, as previously noted, was a $165.3 million, which exceeded guidance in Q3 2015 primarily a result of increased volumes in EMS and PES businesses partially offset by the Q4 2015 non-core asset divestiture. Adjusted operating margin was down 140 basis points from 16.6% in Q3 2015 to 15.2% in Q3 2016 primarily from higher SG&A Q2 2016 strategic business investments as well as $3.6 million year-over-year increase in incentive compensation resulting from the current year accrual combined with the reversal of Q3 2015 accrual. Adjusted EBITDA of $34.1 million improved $1.6 million or approximately 4.9% compared to the third quarter of 2015, as a result of improved volume, performance and currency related gains partially offset by higher SG&A. Net income of $16.1 million in the third quarter of 2016 was up $3.6 million or 190 basis points as a percent of sales. Adjusted earnings per share of $0.95 in the third quarter of 2016 exceeded Q3 2015 by $0.06 and higher by $0.21 or approximately 28% above the mid-point of our guidance. Now, please turn to Slide 12 for the review of our quarterly revenue. Revenue was up 3.1% on a year-over-year basis. Volume and other was up $11.6 million or 7.2%. Our EMS business has strong third quarter revenue due to the demand in portable electronics and automotive applications along with our PES business having strong performance in eMobility applications. Our Megatrends count for approximately 67% of our quarterly revenue and will continuously grow from these important markets. In Q3 2016, clean energy and safety and protection were up 14% as compared with Q3 2015 with Internet connectivity that's ahead of Q3 2015 by 1%. Q3 2016 revenue decline related to the divestiture sales volume of $5.2 million or 3.2%. The third quarter effect of currency exchange rate unfavorably impacted revenue by 0.9% or $1.5 million primarily due to fluctuation $0.7 million was offset by $3.8 million higher SG&A as a result of our strategic business assessments as well as Q3 2015 reversal related to incentive compensation accruals. Improved yields along with favorable overhead and purchasing performance including savings resulting from more copper pricing was the main factor contributing to the Q3 2016 positive performance of $1.6 million. While Q3 2016 volume and other benefited from improved volume within the EMS and PES business in addition to favorable product mix in our other business segment related to the Q4 2015 non-core asset divestiture. This was partially offset by unfavorable mix in the ACS segment and unfavorable volume pricing with certain customers. Now, let's look at our adjusted EBITDA on Slide 14. Adjusted EBITDA is $34.1 million increased by $1.6 million in Q3 2016 as compared to the third quarter of 2015 improved as a percent of revenue to 20.6%. This increase was driven primarily by many of the same reasons just noted during our discussion of adjusted operating income such as improved, EMS and PES volumes, improved mix in our other business segments, improved operational and purchasing performance partially offset by increased SG&A expense, unfavorable mix in our ACS business segment and unfavorable volume pricing with certain customers. In addition, currency related gains also contributed to the increase in adjusted EBITDA. Turning to Slide 15, we exceeded our Q3 2016 guidance range for our adjusted earnings per share as well as exceeded our Q3 2015 adjusted earnings per share of $0.89 by 6.7% or $0.06 resulting in $0.95 adjusted earnings per share of Q3 2016. As you can see on the slide, the $0.06 increase was primarily due to $0.03 of favorable volume and other, $0.06 favorable performance, $0.14 unfavorable SG&A expense and $0.09 of favorable, miscellaneous expense primarily the result of revaluation of foreign currency denominated new company loans and $0.02 payable as share dilution. If you turn to Slide 16, you will see our Q3 2016 segment pricing. Since, Bruce have already reviewed this earlier, I will briefly touch upon some of the highlights. EMS and PES segment revenues increased 16.3% and 8.8% respectively while ACS revenue declined 1%. More specifically our ACS segment revenue declined in the third quarter of 2016 primarily result of lower demand in aerospace, defense and wireless telecom application partially offset by increased demand in automotive safety and high reliability applications. Our EMS segment revenue improved in the third quarter of 2016 primarily due to the strong growth in the portable electronics and automotive applications partially offset by declines in the consumer and mass transit applications. Finally, our PES segment experienced strong demand in our eMobility and variable frequency drive which more than offset declines in rail, energy and mining applications. Looking at Slide 17, you will see our segment adjusted operating income. First ACS adjusted operating income was $8.1 million, down $5.3 million from Q3 2015 or 800 basis points as a percent of revenue. This decrease was primarily due to the unfavorable impact of private and customer mix and volume pricing of certain customers as compared to Q3 2015. The unfavorable impact of additional corporate selling, general and administrative expense allocations in total being partially offset by favorable overhead performance due to focused cost containment efforts. Next EMS adjusted operating income was $11.5 million, up $2.3 million from Q3 2015 or 160 basis points as a percent of revenue. This increase was primarily due to the favorable impact of volume increases in the portable electronics, automotive and general industrial application. Favorable performance a result of purchase savings, partially offsetting is the unfavorable impact of our product mix and favorable due to capacity constraints in certain regions and the impact of additional corporate selling, general and administrative expense allocation. Lastly, PES adjusted operating income was $3.6 million, up $1.6 million from Q3 2015 or 360 basis points as a percent of revenue. This increase was primarily due to favorable impact of volume increases in eMobility and variable frequency drive applications and improved yield performance as a result of our operations excellence initiatives and partially offsetting these favorable items are reduced pricing as a result of certain customers' volume commitments. Given the ongoing economic uncertainty in some of our markets we participate in, we remain focused on executing mainly factoring cost saving initiative to kind of witness and select product categories and end markets Now, turning to Slide 18, you can see we ended September with a strong cash position of $173.5 million; Rogers had solid operational cash flow of $94.2 million through September 2016 representing improvement of $48.6 million compared with the year-to-date September 2015 or over 100% improvement included in our operational cash flow at $12.3 million of positive cash flow due to managed working capital improvement. On the chart you will also note that we have $102.6 million of debt repayment for the year of which $100 million was a result of the successful repatriation of foreign earnings we talked about during our Q2 call. We have also invested $14.9 million in capital expenditure during the first nine months of the year or approximately 3% of revenue. In addition, we continue to execute on our share repurchase program with $8 million in repurchases year-to-date and $4 million in Q3 2016 bringing the aggregate total to $48 million since the program was announced in Q3 2015. Overall, we have repurchased just over 868,000 shares since the start of the program. Lastly, included in others the non-cash items included in our adjusted EBITDA as well as proceeds from the exercise of stock options issued the period that was in place up until the first quarter of 2012. Taking a look at our Q4 2016 guidance on Slide 19, revenues are estimated to be in the range of $155 million to $165 million with net earnings in the range of $0.61 to $0.71 per diluted share and the range of $0.76 to $0.86 per diluted share on an adjusted earnings per share basis. At the mid-point, our Q4 2016 revenue guidance represented revenue increases of 4.6% over Q4 2015. This revenue guidance includes anticipated unfavorable currency fluctuations of 0.7% and another 2.6% unfavorable impact resulted from the Q4 2015 divestiture of the non-core product line. Guidance for earnings per share has a mid-point of $0.66 per diluted share which reflects an increase of $0.29 per diluted share compared to earnings per share in Q4 2015. On an adjusted basis, guidance has a mid-point of $0.81 per diluted share which is $0.01 increase in the Q4 2015. This increase is primarily due to higher volumes and improved operational performance partially offset by higher SG&A from strategic business investment and incentive compensation accrual. Also for the full year Rogers expects capital expenditures to be in the range of $20 million to $25 million and the effective tax rate to be approximately 42% which is around 10 points higher than we would otherwise anticipate as a result of the repatriation of our prior year foreign earnings. In summary, we believe we remain well-positioned to enhance shareholder value and being strategically positioned to capitalize on growth in our Megatrend markets, actively pursuing accretive acquisitions, continued our focus on operational performance initiatives and through our commitment in investment and technology. Now, I will turn the call back over to Bruce. Bruce?
Bruce Hoechner: Thank you, Janice. Before we move to Q&A, I would like to highlight some of today's comments. We believe Rogers is uniquely positioned to benefit from many significant market driven growth opportunities, the rapid adoption of Advanced Driver Assistance Systems or ADAS and the fast emerging technologies of 4.5G and 5G in the telecom space. We will continue to bolster advance connectivity solutions business performance. The growth in our power electronic solutions business is driven by our ability to provide enabling technologies that address the challenges of eMobility from X-by-Wire to EV/HEV applications as well as technologies for energy saving motor control systems. And our Elastomeric Material Solutions business is growing again as we demonstrate the advantages of our polymer technologies and providing ceiling and cushioning solutions for eMobility, general industrial and portable electronics applications. This concludes our prepared remarks. And we will now open the line for Q&A. Chris?
Operator: Thank you. [Operator Instructions] And our first question is from Dan Moore with CJS Securities. Your line is open.
Unidentified Analyst: Good morning. Thanks. It's actually Chris for Dan. Maybe could we just start with the ACS operating income and margins, obviously, down year-over-year, can you talk a little bit more about the specifics and then from there kind of how that translates looking forward?
Janice Stipp: Yes. So that we kind of set the parameters really on ACS, although it decreased that you see on operating profit. When we take out the adjustment for Ireland because they have allocated a higher portion of the corporate allocations because they have the assets. And we adjust for the SG&A which they -- the corporate SG&A for our business -- strategic business initiative. Really the margin only deteriorates a few points just over 17%. So when you see the decline, it's not quite as drastic as you see on there, when you adjust and normalize the two numbers.
Unidentified Analyst: Got you. You had mentioned within there, there was some price considerations offered, can you talk a little bit more specific on the pricing side?
Janice Stipp: Yes. The pricing side, just about $1 million for really one of our strategic customers that they gave us committed volume was just significant and so that we thought with the contribution margin differential on the volume, it was actually advantageous for the -- for us to actually get the price down and get that guaranteed volume.
Unidentified Analyst: Got you. And then specific to on the wireless side, you talked to us a little bit, but can you talk about kind of expectations for growth Q4 and moving into 2017?
Bruce Hoechner: Right. And as I mentioned Chris in the prepared statements, we had seen we were affected by the auction -- the delay in the auction of the spectrum in India. We now see that that's been completed -- we now see that coming into focus. So we think we will see some gains from that as we move through the rest of the year. As we look ahead into 2017, the buildup of or the movement to 4.5G is something that we are starting to see and actually even design wins that are focused on 5G. I'm going to ask Bob Daigle, our CTO to expand a little bit more on what we see going forward in the technology space here.
Bob Daigle: So Chris, I think a couple of points to add to what Bruce mentioned. I think on the 4.5G front, I think we are very encouraged by -- you may recall when the transition from 3G to 4G occurred. That was advanced 3G but it really didn't involve any infrastructure, it was just an upgrade to software. And what we have been able to determine with 4G upgrade as you go to massive MIMO in the -- what's being called advanced [indiscernible] standard that requires new hardware. Though we are expecting to see some nice demand for the transceivers as you start to build out the networks for what people are referring to as 4.5G. The other thing that's really interesting and favorable dynamic is what you are reading and hearing about in terms of the early stages of 5G. Because most of the press out there -- the truth 5G handhelds are really -- you are talking probably 2019/2020 before you see a mass rollout. But, what a lot of the carriers are focused on right now is deploying what's being referred to as 5G for fixed point -- what's called fixed point wireless. And then, in simple terms what they are basically saying is you got enough capability enough to handle this with 5G to support television streaming. So you could picture a lot of regions of the U.S., you really don't have competitive situations between the cable guys providing television service tend to be monopoly. And a lot of what you are reading about right now for early stages of 5G is really technology that allows the wireless guys to play in the television world and to us that's an encouraging -- that's very encouraging, it's a new application area that tends to prove out the technology for 5G early on without having to basically hand-off calls from cell site to cell site because it's fixed point, but it creates some early momentum, which we are encouraged by.
Unidentified Analyst: Got it. Very helpful. Thanks guys.
Bruce Hoechner: Thank you.
Operator: The next question is from Sean Hannan with Needham & Company. Your line is open.
Sean Hannan: Yes. Good morning folks. Thanks for taking my questions. Can you hear me?
Bruce Hoechner: Yes, Sean.
Sean Hannan: Okay, great. Just want to circle back from that pricing topic, just want to make sure that we are in a scenario where some of these types of concessions and agreements in more secure kind of a firm revenue stream that we are avoiding going down a slippery slope here, you can give some commentary around that. That would be great. Thanks.
Janice Stipp: We definitely are very disciplined in that approach on price down, so we look at it. And we actually ensure that we are actually getting higher earnings for and you kind of price down and getting higher volumes associated with it. So, we do not just take price downs, so we are not a commodity type business, where we are going to entertain just to maintain the business. So we look at it, and ensure that we are getting the volume, looking for the capacity and right-size our capacities and balance our facilities around the world with this price down. So, there is more than just a price down we actually look at where we can manufacture the product also. So there is many things that we look at.
Bruce Hoechner: Yes. That's right. And in very specific area that we have this situation, so it's not broad, I wouldn't want to lead anybody to think that there is a broad situation here on pricing. It's a very specific focused initiative.
Sean Hannan: Okay, great. And then, in terms of the commentary to the EMS, there is some caution, I think with the production staff with Blackberry, how much of that is in your guidance here, how should we think about that? Thanks.
Bruce Hoechner: Really in EMS, we participate across essentially all of the handheld smartphone suppliers. And there was one in particular that had a problem with one of their models; they pulled it from the stores. And that we think will have some minor effect on us moving forward and that's a cautionary note that we said for Q4. But, again, this is very specific to that one manufacturer. We see continued opportunities in this area particularly in the back pad area. And I mentioned in the prepared statements around OLED as that display technology becomes more popular. We are seeing opportunities for the back pads that we have developed specifically for that application. So there is some minor issues perhaps in Q4 here as that one OEM of smartphones deals with their problems. We see that rebounding whether they get their business back or one of the other folks who makes handhelds takes that share as I mentioned earlier, essentially in all of these handhelds.
Sean Hannan: Great. Thanks Bruce for helping to classify it with the other guy. So, then last question here for the moment. The M&A environment, so it's obviously crucial to some of your growth strategy, it's been a little bit of time since your last sizeable transaction. Can you talk a little bit about the M&A environment for your folks as well as your appetite at this point? Thanks.
Bruce Hoechner: So our appetite is still strong, we still see this as part of our growth strategy moving forward, the synergistic M&A. Bob Daigle has been doing a lot of work on this. I'm going to ask Bob to expand upon that.
Bob Daigle: We have been very focused and have actually -- significantly increased the activity around trying to get a larger pipeline in place because you have always run into the issue of -- you maybe interested in something, but question is it for sale and can you get the deal closed. Arlon was an excellent transaction for us in terms of overlapping very nicely bringing new capabilities to two of our key businesses. And that's really our focal point right now, we see some very nice opportunities frankly in terms of adding capabilities and either caps and capabilities or close adjacencies for our businesses. And our focus right now is really on getting that large pipeline in place so that we can improve our cadence here in terms of executing on transactions successfully.
Sean Hannan: Thanks so much, Bob. I will hop back in the queue.
Bob Daigle: Okay. Thanks Sean.
Operator: The next question is from Craig Ellis with B. Riley. Your line is open.
Craig Ellis: Thanks for taking the question and congratulations on the execution in the quarter. I wanted to start just with a clarification on the upside and the third quarter. What specifically was the strength versus the mid-point of the guidance versus your expectation?
Janice Stipp: For the third quarter or the fourth quarter?
Craig Ellis: For the third quarter.
Janice Stipp: For the third quarter? I mean, it really -- the reason why we excel so much is, EMS was really strong in the portable electronics market and that really what's drove our sales and our guidance and our results compared to that. So we are very happy about that. It is a pick up in the third quarter. The fourth quarter obviously the sales are a little bit down because the seasonality of the portable electronics on it. You see the fourth quarter is going down, but EMS was definitely a great improvement story for us in the third quarter.
Bob Daigle: I can just add a little bit to that. I think the two major areas of strength for EMS, we referred to one and Bruce talked about the back pad application, which over the past year, we have kind of -- we were talking about the fact that we have been getting some nice design activity. And that showed up very strongly in the third quarter. The other area that frankly came in really strong and we were very happy with was the activities in China in the HEV/EV battery area. We do an awful a lot of work with many -- most of those the global players in the electric vehicle market. And we saw some very, very nice activity in China in particular in the EV area that was very helpful to revenues for EMS.
Bruce Hoechner: Very interesting to see. I wanted the market dynamics that we are observing in China specifically with the focus that the government as on reducing CO2 emissions particularly in the first tier cities the Beijings, the Shanghais. There is lotteries for people to buy cars and to buy an internal combustion engine car, the lottery, you will be one out of 700 people that will be awarded that license for that car, whereas in an HEV/EV automobile it's much, much easier. So, what we are seeing is a significant up tick in activities around designs and actual commercialization of EV/HEVs in China.
Craig Ellis: That's very helpful color. To follow-up on the back pad opportunity Bob, when we do the work with different parts of the supply chain whether it would be the display manufacturers or companies that serve them. We seem to get back to an opportunity in 2020 that would suggest 75% smartphone penetration for OLED versus what's around 20% today. So the question is not much whether that's the right or the wrong forecast, but within a smartphone market that's got form factor, differentiation, small versus larger and significant customer differentiation. As Rogers looks ahead, how do you look at the opportunity, is there a good opportunity for Rogers across small and large screen sizes. And is there anything that would preclude you from participating with any of the major OEMs whether they be Chinese screen or the U.S.?
Bob Daigle: Yes. So, I think if we step back and think about what's the attractive aspect of OLED for us, it comes down to whether you are talking about larger or smaller screen OLED display it tend to be relatively fragile compared to the LTE module. So, you end up on a situation where protecting that OLED screen when somebody is going to drop their phone and they are not shattered, front of the device. You need higher performing basically impact protection. And that play very much to our strength. That's been our -- some area which we generally done extremely well when you got more extreme demands for physical or display or other technology in the devices we do well. I mean you had OLED display other, couple of you have asked me, in television screens and you are not likely to see back pads and television screen because you are not supposed to drop your -- you are not supposed to drop your television, and if it breaks you expect it to break. But in a handheld situation people get awfully upset when they got a device they paid $500 for and drop it on the ground and it breaks. So, we think it's a great opportunity. So definitely a nice technology tailwind that should -- we should be able to capitalize on.
Craig Ellis: Thanks for that. Janice, looking at the outlook, is it fair to say that on the gross margin line the tailwinds would be efficiency and utilization initiatives the headwind would be volumes sequentially. How does that shake out on a quarter-on-quarter basis for that line item?
Janice Stipp: Well, between Q3 and Q4, I mean obviously, we -- exactly what you are saying, I mean, we do see the mix and the shift and we see -- assessing like the OLED and the back pad has a high very -- improvement in our margins and some of the other sides. You will see the volume improving and you will see the mix going higher because of that. So, we see the margin improvement. In addition, to our performance initiatives and our operational excellence, [indiscernible] some of the performance, all of that is really incorporated in our guidance.
Bruce Hoechner: And I will just add on the operational excellence side and so forth. We are accelerating our efforts there. And so we should -- as we move through certainly in this quarter in Q4 and moving to 2017. There is more to be had there certainly.
Craig Ellis: Okay. Last question, and then, I will hop back in the queue. Bruce, I believe it was in your comments where, discussing the antenna opportunity, you mentioned that you'd like to attack that opportunity more broadly. Can you just go into more detail about what's possible there for the company?
Bruce Hoechner: Sure. This is really geographic penetration where we play today. We play with some specific antenna accounts. And they are specific in geographical location. We have been broadening our participation with our capabilities from the Arlon acquisition much more broadly. So, we are already starting to see design wins with other antenna manufacturers that we think will bear fruit particularly as we expansion in the 4.5G massive MIMO in places like China. We do have good strong representation in India at this point and we are seeing a pick for us in China with some of our newer customer base there.
Craig Ellis: Sounds promising. Thanks everyone.
Operator: [Operator Instructions] The next question is from Joan Tong with Sidoti & Company. Your line is open.
Joan Tong: Hi. How are you guys doing? Good. Just a couple of questions just going back to the ACS segment and Bob, you mentioned the 4.5G new hardware demand and also 5G new design activities, is there any particular geographic region that you are seeing those types of strength and the new design activity or is it pretty much across the board around the globe?
Bob Daigle: Yes. So, I think -- I characterize all the major telecom equipment OEMs are very busy developing hardware for the 4.5G advanced, for example, in 5G. So, I think it's across the board Joan. I think everybody sees that it's the future. I think if you look at the cost and I should have mentioned that earlier. I think one of the things that we are also very encouraged by is the fact that a lot of the -- some of the frequencies are going up quite a bit -- some of the structure for example, for 5G that they are looking at for fixed point is 28 gigahertz why because it's really cheap bandwidth. And if you look at it as a cost per megabit per subscriber, per customer, it's a very cost effective way to provide high bandwidth to customer. So, I think everyone looks at this and says this is the future; this is what the industry needs to provide the performance customers are looking at in their handhelds and everybody is looking on it. And we are working with everybody.
Joan Tong: Okay. That’s good. And then, just another follow-up on the OLED opportunity, the back pad, on the portable electronic side of things, I'm just wondering like -- in your pipeline maybe you can't really share the information. But, obviously, somebody else already mentioned the form factor and like, different portable devices. Should we like think about this is not just a smartphone end market and you actually in your pipeline, you are actually talking to some of those like OEMs on the mobile computing side as well i.e., laptops and tablet?
Bob Daigle: Yes. So there is potentially some opportunities in the larger devices and it usually, it gets a little bit trickier Joan because we've been through this before and some equipment providers will may want something a little bit more robust. But, I always like to think about people also generally don't expect to be able to toss their laptop around and have it hold up. So, if you throw your laptop on the floor and it breaks, it's kind of like well, I shouldn't have done that. If you drop your handset, waist high and drops on the floor better not break. So, I think there will be more of a nip back frankly I think in terms of -- I think there is some opportunities but it's not clear to us yet whether it's going to be -- it's going to be as substantial in the larger devices, we will have to wait and see.
Joan Tong: Okay. All right. That's fair. And then, I'm not sure if you guys have mentioned anything on the ADAS side and like obviously, the [Siemens] [ph] unit again, it's flat to -- it's not exactly very robust. So it's still a content play for you guys. I just want to see that through your view and like what you are thinking over the next couple of years on the -- assistance drivers sensor business?
Bob Daigle: Sure. And let me just speak a minute or two about the automotive radar. And what that really means for Rogers is that this is a penetration play while the number of units of coursed manufactured may vary year-to-year, what we are seeing is -- it's really the penetration of these systems, the adopted crews, fine spot detection, now we are seeing our systems, our materials being used in self-driving cars. And again the industry views this growth rate of somewhere between 25% and 30% a year through 2021. And that's pretty much in line with what we are seeing on a quarterly basis as well, is a 25% to 30% growth rate. So, as I mentioned, if we do see maybe a down turn in automotive sales, it might have some small effect per unit, but it's really the story penetration in the -- in the cars that currently don't use these radar systems. And we are seeing that moving forward massively.
Joan Tong: Okay.
Bob Daigle: And maybe just to add something to that, I think it's penetration in terms of the number of vehicles that are starting to incorporate the safety sensing systems. But, I think the other factors that's important for us is the number of sensors per vehicle continues to raise. And it wasn't long ago where the only thing you had were two sensors for blind spot lane change assist. And then, you ended up with adopted crews pre-collusion braking. Now, you are seeing a couple of more sensors for transfers where if you are backing out of a parking spot or out of your drive way, looking sideways to see if something is coming at you to warn you. So you are seeing the continued increase on the average number of sensors per vehicle that have the systems. And again, the regulatory -- quasi-regulatory environment is very, very favorable, you got I believe by 2021 agreement with the Detroit automakers to have the pre-collusion braking systems as a standard. You got an environment in Europe right now, where if you want to get a five star safety rating you have to have active systems, you can't just rely on protecting people on accidents, air bags et cetera. You got to prevent accidents. And these sensors play a critical role in accomplishing that.
Joan Tong: Got it. Thanks for the update. And then, finally, just a quick update on some of those more commoditized or commodity end market, you mentioned mining and energy were some of the weak spot in the past couple of quarters. Have you seen anything stabilizing obviously, the sort of the view for next year is a little bit more favorable comparable to a couple of quarter to go. And just want to see, if you have seen that as well.
Bruce Hoechner: In the rail and mining areas, we really haven't seen the up turn yet, so we are bouncing along at the rates that we've probably seen in the last two quarters or so. And it would be difficult for us to forecast moving forward how this is going to -- where this is going because I think it's very depended on commodity pricing, oil pricing and so forth that will drive new investments there [indiscernible] goods on rails and so on. So, part of it's tied certainly to the oil prices and so forth, part of it's tied to general economic activity. And with global GDP, relatively low compared to what it's been over the last five to seven years. Our expectation is until things really start moving, we probably won't see too much change there.
Joan Tong: Okay. All right. Thank you guys.
Janice Stipp: Thanks.
Operator: The next question is from Sean Hannan with Needham & Company. Your line is open.
Sean Hannan: Yes. Thanks. Just real good more than administrative question for Janice. Can you talk a little bit about the SG&A number that we have come through within the quarter, what to expect as that moving forward from here? Thanks.
Janice Stipp: Yes. As we talked about we have some strategic initiatives, so we had a little bit higher expenses coming through in the Q3 and our number came in at about $32 million that you will see, if we file our Q. We anticipate the fourth quarter to be roughly about the same and then it will go down in 2017 as we talked about we had strategic initiatives that will [air] [ph] one time and they will finish off throughout the year of this year. But, we've some cost initiatives that we need to take down our SG&A, so on the run rate basis, you will see that improve in 2017. And then, of course, when you compare it to last year, we had about bonus, where we reversed that clearly in Q3 of 2015 where we have been growing in 2016. So those are the three pioneering reasons of -- the difference from last year and also the steady state from three to four. But, then going forward you will see some run rate improvement.
Sean Hannan: Okay. And then, last question here for me, if you think about some of the bigger trends that are going through of that ACS and provide a little bit more wins, when do we hit that inflection point in terms of getting back to little bit better year-over-year cost, we had something based on say some of the optimism through India, 4.5G, China et cetera. Do we start to get to that by the first quarter of next year or how should we think about that change? Thanks.
Janice Stipp: In Q4, you will see a little bit of pick-up, as we are seeing some things change especially we talked about before, 4.5 doing some other things that things are coming in with the antenna business. So we see a little bit. But, we should see some improvement in 2017. We will see that hopefully coming back stronger in 2017 especially with the auto market and the volumes increasing year-over-year that would be a big portion of it. And then we see the power and antenna business into space that improving a little bit.
Bruce Hoechner: Exactly. I think the big driver for growth next year as we look at would be the ADAS side of things for ASC. And I would characterize it as stability in the telecom sector.
Sean Hannan: Okay. Thanks. And then, as a follow-up on the ADAS comment, what are you assuming in terms of volumes within the market, obviously this is a content -- primarily a content story, but we had the benefit of good volume, I think that's certainly becoming a bit more neutralized, so just wanted to understand what's in your assumption?
BobDaigle: Yes. Sean, I think -- we will share the belief the auto industry is likely to be sluggish whether you are talking about peak auto or just stabilize and even if it's down a little bit. But, I think the important point that just to reiterate what Bruce said earlier is that our ADAS story, our volume is driven by penetration. It's driven by the fact that --the higher percentage of the vehicle every year are incorporating the safety sensors and that the average number of sensors per vehicle continues to increase. So frankly, the auto volume barring a major decline is more in the noise for us. When you are talking about mid-20% kind of growth rates, which are mostly penetration story, a few percent plus or minus in autos volume doesn't necessarily move the needle much here. I think it's less than the noise frankly.
Sean Hannan: Great. Thanks. I will see you back folks.
Janice Stipp: Thank you.
Bob Daigle: Thanks Sean.
Operator: The next question is from Julie Li with Drexel Hamilton. Your line is open.
Julie Li: Thank you very much. First of all, congratulations on the solid quarter results.
Bruce Hoechner: Thank you, Julie.
Julie Li: My question is, the PES business we saw some pick-up EV and HEV sales this quarter, but rail business slowed down, can you share updated view on this end markets?
Bob Daigle: So, again, the rail is tied to commodities and movement of goods on those rail systems. And while there is ongoing building of locomotives and high-speed rail, it is at a much, much lower pace than what we have seen and then what we have seen over the last two to three years. And as I mentioned earlier in the call, we don't necessarily see that rebounding significantly moving forward. What we are seeing is, I think as you mentioned it in the PES business, significant upsides on the EV/HEV side of things both I would say both on the curamik side of the business as well as the busbars side of the business. So we are seeing essentially a movement or a transition in that business around eMobility and certainly the strength and the variable frequency drives as well.
Julie Li: And is there a material operating margin difference between HEV and PES?
Janice Stipp: We don't normally break out down -- break our product line within the business unit. But, yes, there are differences and obviously, the higher technology ones obviously would have the higher margins, but we don't break that down.
Julie Li: And my last question is, all merger and acquisitions, you talked about -- you are spending the pipeline and I'm wondering is there a specific product line that you are looking at, will you seek out acquisitions opportunities?
Bruce Hoechner: So, our stated intent is looking across all of our product lines and identifying opportunities that match well with the capabilities of Rogers. It might be an extension of a materially. It might be an extension into a different market and some enablement there an acquisition would give us. But, we are looking across of our business units to identify these adjacencies and these opportunities. So, that and that's helping us have a broader aperture of opportunities because of that.
Julie Li: Thank you. That's very helpful. I would jump back in the queue.
Janice Stipp: Thank you.
Bruce Hoechner: Okay.
Operator: There are no further questions at this time. We will turn the call back to Mr. Hoechner for any closing remarks.
Bruce Hoechner: First, I would like to thank everyone on the call today for their interesting questions, I think very good conversation and we thank everyone for the support of the company. So, have a good day.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect. Thank you.